Operator: Good morning and welcome to the Beazer Homes earnings conference call for the quarter ended December 31, 2016. Today's call is being recorded and a replay will be available on the Company website later today. In addition, PowerPoint slides intended to accompany this call are available in the investor relations section of the Company's website at www.beazer.com. At this point, I will turn the call over to David Goldberg, Vice President and Treasurer. Sir, you may begin.
David Goldberg: Thank you, Gary. Good morning and welcome to the Beazer Homes conference call discussing our results for the first quarter of FY '17. Before we begin, you should be aware that during this call we will be making forward-looking statements. Such statements involve known and unknown risks, uncertainties and other factors which are described in our SEC filings including our Form 10-Q which may cause actual results to differ materially from our projections. Any forward-looking statement speaks only as to the date on which such statement is made. And, except as required by law, we do not undertake any obligation to update or revise any forward-looking statement, whether a result of new information, future events or otherwise. New factors emerge from time to time and it is not possible for management to predict all such factors. Joining me today are Allan Merrill, our President and Chief Executive Officer and Bob Salomon, our Executive Vice President and Chief Financial Officer. Allan will start the call by providing an update on our fiscal first quarter 2017 results and our operational priorities. Bob will discuss first quarter results in greater depth, where we stand relative to our 2B-10 goals and our expectations for the second quarter of FY '17. I will then come back to provide more details about our land spending this quarter and provide an update on our balance sheet and liquidity followed by a wrap-up by Allan. After our prepared remarks, we will take questions with the time remaining. I will now turn the call over to Allan.
Allan Merrill: Thank you, David and thank you for joining us on our call this morning. Our first quarter results reflected continued progress on our balanced growth strategy. As anticipated, we generated a significant increase in our absorption pace, increased ASPs and squeezed out a small improvement in gross margins. This enabled us to overcome the temporary reduction in community count resulting from last year's major deleveraging and to invest in our recently launched gatherings division. Looking forward, we're focused on building homes for the two largest demographic groups in U.S. history. Millennials and the baby boomers. In both cases, we offer homes representing an exceptional value at an affordable price. This positions us to grow revenue and EBITDA for the foreseeable future. And, we're going to couple this expansion with a much more efficient balance sheet driven by a massive reduction in dormant land held assets, an increase in option lots and the elimination of an additional $100 million in debt though FY '18. Taken together, this strategy will allow us to continue to pursue our 2B-10 targets while deriving improvements in our return on assets and equity. As investors have undoubtedly noticed, the environment for new home sales remains supportive. Traffic and demand are strong, supported by accelerating wage growth and improving consumer sentiment. Mortgage rates are still attractive, even after recent increases. And, the supply of new and used homes remains very tight across our markets. Of course, there are risks and uncertainties, particularly related to mortgage rates, labor and potential new policies out of Washington. In the face of these issues, we're taking proactive steps that will lead to higher returns while helping mitigate our risk. Specifically, here are four operational priorities for this year. First, as discussed on our last call, we're expanding our gatherings business across our geographic footprint. Historically, our active adult gatherings communities had driven both higher sales paces and margins than our traditional business which is why we believe this expansion will be very positive for our results in FY '18 and beyond. We have already started building a robust pipeline of sites to support this rollout. Second, we're in the process of building on our operations in supply-constrained California markets. The restart of our Sacramento business last year and the near term arrival of our new San Diego communities will support improvements in our unit activity, cash flow and profitability in the years ahead. Third, rising rates give us the opportunity to demonstrate the value of our mortgage choice program. For those of you that are unfamiliar with mortgage choice, it is our unique, preferred lender program. We make lenders compete for our buyers' business which means our buyers win two ways. They get more competitive rates and the best possible service. Finally, we're focusing on speeding up our asset turnover through an improvement in our homebuilding cycle times. We think about cycle times as three distinct components. Sale to start, start to completion and completion to close. In the current labor market, it is going to be challenging to dramatically improve start to completion times. But, we have got opportunities related to the other two components, particularly in improving the sale to start process. Faster cycle times will allow us to maintain our focus on to-be-built homes that generally carry higher margins. Those are just four of our initiatives FY '17, all of which are designed to support our balanced growth strategy. With that, I'll turn the call over to Bob to discuss our results in more detail and update you on our 2B-10 progress.
Bob Salomon: Thank you, Allan. Good morning, everyone. In the first quarter, our sales absorption rate was 2.2 sales per community per month, up more than 18% year-over-year leading to a 9% increase in orders. Importantly, our sales pace remained balanced across our markets with notable gains in California, Las Vegas, Phoenix, Charleston and Raleigh. Homebuilding revenue was flat versus the prior year at $336 million. Our average selling price of $338,000 was more than 5% higher than the same period last year. Each of our regions experienced price improvement on a year-over-year basis led by the southeast were prices were up 9%. We generated a backlog conversion ratio of 52% which was in line with our expectation and slightly higher than the prior year. Our average selling price in backlog as of December 31 was approximately $346,000, suggesting further ASP growth moving forward. Our first quarter gross margins, excluding impairments and amortized interest was 20.5%, up 10 basis points versus the prior year when adjusted for a warranty recovery. We're pursuing modest additional gains as we move through FY '17 though expanding gross margin will be difficult if interest rates move up significantly or the labor situation becomes even more constrained. SG&A as a percentage of total revenue including both homebuilding revenue and land sales was 14.7%, up about 150 basis points year-over-year and higher than we anticipated. The reason for that was a $2.7 million write-off of a legacy investment in a development site. Excluding this write-off, our SG&A would have been 13.9%, in line with our expectation given the additional overhead spending related to our gatherings investments. Our first quarter adjusted EBITDA was $24.4 million. Our total GAAP interest expense which includes both direct interest expense and interest-amortized cost of goods sold, was $20.9 million in the first quarter, down slightly versus the prior year. As a reminder, the benefit we generated from retiring debt will take time to materialize on our income statement as we continue to work through previously capitalized interest. On a run-rate basis, our cash interest expense has been reduced by approximately $10 million year-over-year. First quarter net loss in continuing operations was $1.4 million which included the previously mentioned $2.7 million write-off. This compared to net income of $1.2 million for the same period last year which benefit from a $3.6 million insurance recovery related to Florida stucco issues. Our total tax benefit in the quarter was $2.6 million. As we expected, the changes we recently made to the structure of our subsidiaries led to a 36% annual effective tax rate. On top of that benefit, we had approximately $1.2 million in energy efficiency tax credits. We continue to make progress toward achieving 2B-10, our multi-year goal to get to $2 billion in revenue and a 10% operating margin. As a reminder, our 2B-10 objectives are measured against our last 12-month performance. Total revenue was $1.8 billion, up more than $110 million or more than 6% compared to last year. We closed 5,365 homes over the last 12 months, about 4% higher than the prior year. Our sales pace was 2.8 sales per community per month within our 2B-10 target range and up as expected. And, the full-year sales pace remains among the highest in our peer group and we continue to pursue improvements. With our average selling price over the last 12 months of $333,000 and our average price in backlog over $345,000, we're lifting our 2B-10 target to $340,000 to $350,000. Our growth ambitions in terms of pace and community count remain unchanged. But, it is worth noting that we can achieve our targets for both revenue and EBITDA with fewer communities at this higher price range. Our average community count for the last 12 months was 162 although we ended the quarter with 154 active communities. The decline was expected and previously disclosed, as we prioritized deleveraging in FY '16. However, given the land pipeline in place, we expect community count to begin to grow in the back half of this year and into FY '18. Our gross margin over the past year came in at 20.6%. We remain focused on driving greater operating efficiency to offset rising direct costs which will help support our margins in the coming quarters. SG&A as a percentage of total revenue was 12.6%, but excluding the write-off incurred this quarter, it would have been 12.4%. This is still a little above where we would like it to be, but with a rising community count and higher average selling prices, we're positioned to bring this into our 2B-10 range. These results generated adjusted EBITDA of $155 million, up about $1 million from the same period last year and up more than $160 million over the past five years. We have made significant progress toward achieving 2B-10 and we expect FY '17 to represent another big step toward that goal. Moving on to our expectations for the second quarter of FY '17. We expect absorptions to be flat to up slightly versus the same period last year. Our average community count will be around 150 which we expect to be the low point for the year. Our backlog conversion ratio should be similar to the lever achieved for the second quarter of FY '16. Our ASP is expected to be around $340,000, up significantly relative to the second quarter of last year. Our gross margin should be slightly higher than last year's second quarter. Our SG&A as a percentage of total revenue will likely be flat year-over-year. Our land sale revenue will be less than the second quarter of FY '16 with little to no gross profit, resulting in EBITDA being comparable to last year. And, finally, our cash land spend for the second quarter should be around $100 million, up significantly compared to last year. At this point, I will turn it over to David to discuss our land spending and balance sheet.
David Goldberg: Thanks, Bob. In the first quarter, we spent $103 million on land and land development. Additionally, we were able to activate more than $40 million of land held for future development. Combining these, our effective land spend was up about 28% versus the prior year. Over the past three years, our total land held for future development has declined from up $340 million to less than $175 million, a reduction of nearly 50%. Looked at differently, our active assets now represent 87% of our total inventory compared to slightly over 70% at the end of the first quarter of FY14. We see opportunities to reduce our land held assets even further this year allowing us to continue to improve our capital efficiency. In line with our expectation, our average community count of 156 for the first quarter was approximately 8% lower than the same period last year, driven by our decision to accelerate debt reduction in FY '16. While predicting future quarterly community count is difficult, you can see that we have 42 communities scheduled to open in the next 6 months and 40 near term closeouts. Additionally, we have a pipeline of 44 communities that have been approved and are currently under contract, underscoring our confidence for growth in FY '18. It is important to point out that our expectation for future community count growth is not solely a function of increasing the dollar spend on land acquisition. We can and will grow community count by using our capital more efficiently. Whether it is buying more land through traditional options, using land banking structures, focusing on smaller communities that protect against an eventual downturn or activating assets previously classified as land held for future development, we're finding opportunities to accelerate our community counts and therefore our growth profile, while mitigating risk and achieving our deleveraging goals. Demonstrating the progress we've made to date in improving our profitability and more efficiently using capital, trailing 12-month EBITDA-to-inventory ratio rose to nearly 10%, representing a dramatic improvement relative to prior years. Looking forward, we have opportunities to drive further improvements. As an example, we're in the process of expanding our Southern California division into San Diego. Over the next year or so, we expect to open seven communities in this area. All the land underlying these neighborhoods came from either land-bank transactions or activating land-held assets. Without having to invest much additional capital, opening these communities will generate a significant positive impact on our orders, closings and average selling price in FY '18 and FY19. After last year's deleveraging, our balance sheet is well positioned to support our growth ambitions with nearly $160 million in unrestricted cash and over $300 million in total liquidity at the end of December. We have no debt coming due until 2019 outside of our scheduled term loan amortization payments totaling $55 million which we will repay as part of our planned $100 million debt reduction through FY '18. With that, let me turn the call back over to Allan for his conclusion.
Allan Merrill: Okay. Thanks, David. I want to conclude today's call with a recap of our strategy. Simply put, we're working to generate revenue and profitability growth from a leaner and less leveraged balance sheet as we approach and then surpass our 2B-10 goals. That means deploying capital very efficiently, growing our community account with emphasis on our high-performing gatherings communities, keeping overhead per home closed near the bottom of their peer group and doing all this while reducing our debt by at least an additional $100 million through FY '18. Achieving these goals will allow us to continue expanding our top line, EBITDA and our returns. I would like to thank our team for their continuing efforts. With their talent, I'm confident we have the people, the strategy and the resources to reach our objectives. With that, let me turn the call over to the Operator to take us to Q&A.
Operator: [Operator Instructions]. We have our first question [indiscernible]. Sir your line is open.
Unidentified Analyst: Good morning. This is Neal on for Mike. I guess gross purchase for the quarter so you have had pretty good progress towards the 21%-22% target. But I guess you are looking for more flat sequentially this quarter. So what were maybe some of the puts and takes with more labor raw materials?
Allan Merrill: I think the answer, Neil, is it is ethical to project gross margins even 90 days out within 20 or 25 basis points. So I don’t have a big read through. We were happy it was up year over year. There are pressures on the cost side, as you know last year we were pretty focused on generating liquidity. And as we have evolved I think that has released some of the pressure that we were under rise under. I think the puts and takes for us is we still see opportunities for modest incremental margin gains on a year-over-year basis.
Unidentified Analyst: Okay. That's helpful. I guess I mean taking into account that the balance sheet is potentially stronger and you are now able to kind of focus less on lower margin specs. You think that is one of the drivers this year but maybe what are some other drivers for the rest of the year?
Allan Merrill: I think last year we acknowledged very clearly that we stepped on the specs a little bit to generate liquidity and it allowed us to pay off a ton of debt but we said at the end of that we will sort of transition back to our more historical pattern of specs and to be built. So I think that is a lift for us. Beyond that, I rent mentioned something around cycle times. I appreciate that is a little bit of an eye roller for most investors. But squeezing a week at of our cycle time saves money and Franklin helps backlog conversion which also leverages fixed parts of gross profit. So the fixed parts our cost to consult pizza there are a few different things there. There is no magic bullet. The labor situation is definitely challenging and we're working in every trade and every city. On that like our competitors are. The position we're in we see a little like that we can continue to squeeze out or eke out incremental margin improvements.
Operator: [Operator Instructions]. Our next question is from [indiscernible]. Sir your line is open.
Unidentified Analyst: First question I had, it looks like closings out West were fairly strong this quarter. Could you talk about the impacted gross margin there and what are you expecting maybe for the rest of the year in terms of a balance between the different regions?
Allan Merrill: As you know, J, we don't give quarterly sort of segment guidance. I would tell you that the West has become slightly more important with Sacramento that we reactivated last year. And I think that will be incrementally true just a bit. But I don't think there's going to be a big mix shift across our segments over the balance of this year. I think it is going to be relatively flat. There is some seasonality. So I would look to last year's mix on a quarterly basis more than I would sequential. But just in the Northeast as example we tend to be a little lump year or the mid Atlantic we tend to be a little bit more lumpy are the second and third quarter than we're and our West or Southeast regions.
Unidentified Analyst: So the expansion into San Diego, should we expect the same type of gross margin impact from that expansion that we have seen from [indiscernible]? Or is it going to carry a little bit higher average gross margin?
Allan Merrill: It's a good question. I think maybe not everyone understands everything that was packed into that question. Let me just take one step back and I will try and react. For folks who hadn't focused on it, turn 11 is our Sacramento assets with activated that for future development a couple of years ago and started generated closings last year. It has become a good part of the business. The nice thing with the Thomas , is from where we started we say clearly that the land held assets would carry margins well below what the company average was. We have been able to generate a pretty good list in margins in the Thomas. And so as we anniversary our lap being in Sacramento, that actually ends up being a bit of a help to margins as opposed to in incremental negative. In Southern California, in San Diego in particular we have a mix, we have on land held for future development sites that will activate next year. And we really won't have any closings from that site until next year. The other two are [indiscernible] transactions. I will tell you they will have very good margins. Land bank transactions leverage our capital so it is not quite the same margin as if we would put him balance sheet. But I think those will be pretty constructive. Our early indications on demand I have to say I feel pretty good about.
Unidentified Analyst: The last question I have, other specs came in lower this quarter than what I had anticipated. 5.2 million range, is that something we can use for the rest of the year? Can it be even lower?
Bob Salomon: J, this is Bob, that is our interest expect -- expense [indiscernible] which relates to how much debt we have versus qualified inventory. And with the debt we paid down last year, obviously we're starting to now see that reduction going through the income statement. That is probably a reasonable place to think about on a go forward basis.
Operator: Next question is from Alan Ratner, Zelman & Associates Sir your line is open.
Alan Ratner: My question is with the as G&A rate. So if you look at TB 10 targets you are clearly 1011 and expecting further leverage their into the 11-12% range. If you look at the current level you are at [indiscernible] it would on an annualized basis, it still certainly above other builders. And I think even your target that 11 and 12 would be a bit higher than where you kind of bottomed out in a prior cycle. And when I look at other companies there are several that are actually them below prior. [indiscernible] today, lower volume rate. So maybe you could spend a minute talking about the challenges driving the as G&A rate even lower and why [indiscernible]?
Allan Merrill: The simple answer which is usually the best one is ASP. The fact is every $10,000 in ASP is about 30 dips. I look at our peer group, they are typically about $100,000 in ASP from where we're and you can do the math on what that would do. So one of the reasons I made the point in my closing comment about keeping our overheads on a per unit basis near the bottom, it is not the very bottom of their peer group. I think we're actually doing a pretty good job with as G&A and -- in the very one -- low 41-$42,000 unit. All stack that up against anyone. I last calculation was there was one builder that had a lower number. It isn't so much the fault of our homes, what our overheads are. So I look at it on a per unit basis, not just on percentage basis. Beyond that, there really are challenges. You know probably better than I do what are closings were 10 years ago, we closed 18,000 homes. So that is a little different size company, so that makes the comparison pretty difficult. But I really think for you and for others the focus is when we're running the business on a lien basis, for every home closed I think we get pretty good bang for the buck.
Alan Ratner: And then the second question if I could. Just some more guidance for Q2 it applied the absorption growth rate which has been trending very strong the last couple of quarters, in the high teens does pull back a little bit. Just curious, based on what you're seeing you did really spend a lot of time talking about the interim postelection with moving rates maybe you could spend a second talking about what you're seeing there? And why the growth rate might be slower in the second quarter with the fiscal second quarter? Thank you.
Bob Salomon: So you are right. We do expect a lower or negligible rate of improvement in the pace. We had a really good March quarter last year. That's part of it. I will sort of take the bait in terms of let's go back and unpack Q1 and kind of talk about January a little bit. Q1 was a really odd quarter. We talked about October on our fourth quarter call it we were up about 20%. That's a harbinger of a strong quarter. November was not very good. November was odd , nothing really changed. Traffic was good, sales were very good. In fact we were down year-over-year in November. December came back and acted a lot like nope -- October. And I will tell you, we did not do crazy stuff. A lot of our peers, don't know why they do this but they are closed many days between Christmas and New Year's. We tend to do really well between Christmas and new year. And that carried over into January. At a high level what happened in January was the pickup in pace we got offset the decline in community count. So we sit here feeling pretty good about January, realizing that February and March our bigger month and were quite -- quite strong last year.
Operator: Next question is from [indiscernible]. Sir your line is open.
Unidentified Analyst: I was wondering about your SG&A comment being flat year-over-year. Were you talking in dollars or percentage terms?
Bob Salomon: We were talking in percentage terms, Alex.
Unidentified Analyst: Okay. And then I guess, as it pertains to the rest of the year , what kind of tax rate can we model or assume?
Bob Salomon: Our annual effective tax rate will be about 36% for the whole year.
Operator: The next question is from Yaman Tasdivar of Private Investment Management Firm.
Yaman Tasdivar: As I mentioned on the last call, I'm going to be a long term investor in your company. So my questions are going to be more longer term and strategic in nature. I was wondering what are your thoughts on, I would like to drill down into the labor issue a little bit more. And I want to see your thoughts on how reduced immigration affects the labor rates, especially in the southern states versus the last boom cycle from 2005, where we saw increased immigration? And the follow-up to that, if there is any implications, what does the new administration's policies due to her future gross margins? Thank you.
Allan Merrill: Well, I am glad you paraphrase or characterized your question is long term in nature and strategic. Because the good news -- the bad news is there's a lot of unknowns. I don't know what the administration's immigration policy is going to look like. But let's take labor and sort of look at a little bit more broadly. Because I think immigration is certainly a part of it. And I will address that. I think there are three different pillars we're looking at longer term to help offset some of the pressures that we anticipate in terms of the availability and therefore the cost of labor. First, right in the middle of your question we're clearly in favor of an responsible guestworker program. We're well aligned with other industries, including agricultural industry. That isn't super popular right now, but I can tell you with some time spent in DC personally, I think that there is a bigger audience for a broader immigration program and in particular around guestworkers then would maybe appear to be the case based on headlines. I think it is a complicated issue obviously, it is a highly charged issue. But I think they are certainly seasonal and industry group impacts that I think you will see some greater flexibility around guestworkers in particular. But that is not the only part of the labor question. Think the second part really gets to training and education. I feel pretty strongly about this. I think that as an industry we have a big opportunity to do a better job competing for the available talent pool. By talking to high school kids and talking to college kids and community college kids about the fact that it is okay to work with your hands, it is a great industry. It's highly rewarding to deliver the keys to somebody for their home. I know that with our trade partners we're spending time and money on making the case that this is an industry that you can own a business in, this is a business -- industry that you can have a very high quality of life and frankly it is well compensated. You have all heard stories of plumbers, electricians, drywall is, those jobs are well-paying. So I think we need to do a better job on the training and education site. The facts are, not every kid needs to go to college. I think you've seen and resurgence in enrollment in some of the trade programs and we're certainly supporting that. I think the third leg and probably the one that offers the most long term promise that his hardest to see in the near term around innovation and automation. I do think that there are some early efforts. Some of our trade partners and distributors have to eliminate waste and inefficiency in the building material side. If we can eliminate waste things I find in dumpsters and on our job sites, the less of that there is, that’s less labor that was consumed along the way. So I think all three of those are important for us to long term address the labor issues in the industry. I don't really have the ability to go back and compare and contrast immigration policies and qualities with prior periods. But I will tell you I think this is a longer term issue for the industry. It is not a second quarter issue alone and it is why we and our partners and our competitors are looking at both immigration and training and automation as solutions to the challenge.
Yaman Tasdivar: It is really good to hear about your personal and note that you see the color on this issue is overall positive what the headline suggests printouts or agree with you that a construction job is very rewarding, with you that a construction job is very rewarding, as I know from a personal experience and some nonprofit projects. Thank you and good luck in the next quarters.
Allan Merrill: Thank you.
Operator: Our next question from Alex Baron of Housing Research Center [ph]. Your line is open Sir.
Unidentified Analyst: I was hoping you could elaborate on what you expect ASP to do over the next few quarters? I guess as your mix changes and as California becomes a bigger part?
Bob Salomon: Alex, we increased our target range for TB10 [ph] $10,000 from 340-350 knowing that our backlog is already centered in the middle of that. What we talked about in the script as we're looking about a fourth -- $3-$40,000 Q2. Somewhere in the 400 Q2. Somewhere in the 440-3 to 50 range throughout the rest of the year.
Unidentified Analyst: Okay. And what about your margins I guess longer term, would they be going up because of your increased California exposure?
Allan Merrill: We talked about the fact that the mix of those communities, the land held communities and the land banked communities in general carrying margins that are lower than the company average. So I would tell you that I think there is an opportunity overtime for those to help but in the near term we're generating a terrific return on capital and frankly a lot of cash by monetizing assets that have historically been stranded in generating no margin and no EBIT at all and that’s really a big part of the strategy.
Operator: Thank you. It looks like we have no further questions at the moment. I would like to hand the call back to our speakers.
Allan Merrill: All right. Thank you again for participating on our call. We look forward to talking to you after the end of the second quarter. Thank you and have a good day.
Operator: Thank you speakers. And that will conclude today's conference. Thank you all for participating. You may all now disconnect.